Operator: Thank you for standing by, and welcome to the Pilbara Minerals December 2019 Quarterly Conference Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions]. I would now like to hand the conference over to Mr. Nicholas Read. Please go ahead.
Nicholas Read : Thanks very much, Jessie. Very good morning to everyone, and thank you for your time this morning. On behalf of Pilbara Minerals I'm very pleased to welcome you to the company's inaugural quarterly analyst and media conference call and webcast. This follows the release on the ASX platform earlier this morning, of Pilbara Minerals, December 2018 quarterly activities report and an associated Quarterly Update Presentation. Leading today's call for Pilbara Minerals, I'll shortly introduce the company's Managing Director and CEO, Ken Brinsden; and Chief Operating Officer, Dale Henderson. Before I do so, I'd like to briefly run through some housekeeping notes for this morning's call. Ken and Dale will open proceedings with a short presentation of quarterly results before handing back to the moderator to open the call to questions from analysts and media. In the interest of efficient time management today's call will run for approximately 40 minutes inside all, including questions. I'd also ask that analysts and media who registered to ask a question, please respect their questions to one at a time so Ken and Dale can deal with them effectively. Please note that shareholders and other interested parties are welcome to listen to the live webcast of today's call, which is available through the BEE [ph] Media Service using the link provided on the front of the quarterly and the presentation on the ASX platform. A recording of this webcast will also be available using the same link shortly following the conclusion of today's call. I'd also like to make you aware that shareholders with questions for Pilbara's management teams are welcome to send them to shareholders services at pilbaraminerals.com.au, that's shareholderservices@pilbaraminerals.com.au. Without further ado, I'd like to hand over to Mr. Ken Brinsden, Managing Director of Pilbara Minerals to introduce today's presentation. Thanks very much Ken.
Ken Brinsden: Thank you, Nic. Thank you, Jessie and thanks to everyone who's joining our first quarterly call. This will become part of a regular agenda at Pilbara Minerals given that we've moved into the realm of lithium and tantalum raw material producers. Joining me here on the call today and subsequently available for questions we have Dale Henderson. Dale will provide some further detail, with respect to the operating performance during the December quarter and a bit more descriptive analysis of the successful commissioning and ramp up at the Pilgangoora plant. But also in the room, we have Brian Lynn, CFO, Alex Eastwood, Company Secretary and General Counsel, and Linda Reddi in our corporate affairs area. Thanks again to everyone for joining. Much appreciated and I look forward to your questions as I'm sure Dale will. So to kick things off, the December quarter, really it was by almost every measure a formative quarter for Pilbara Minerals. Moving well beyond the proof-of concept Pilbara has demonstrated what can be achieved with respect to quality results, spodumene reserves and a sophisticated processing facility, the combination of both, the intermediate separation obviously gravity for the purpose of Tantalum model. And then flotation for the purpose of the full Lithia recovery and full credit to Dale and his team because they have the plant working in symphony. Absolutely fantastic results, and as I said, more than a proof-of-concept as to all the work that Pilbara Minerals has put in over many years to achieve what I believe is a fantastic outcome for shareholders in the successful conditioning and ramp up at Pilgangoora. And we're very much looking forward to what the plant is capable of over time. It was a landmark quarter. The first shipment, very strong quarterly sales in the spodumene category and the official opening of the Pilgangoora project, all just amazing outcomes for the team here at Pilbara for the work that's been put in and the shareholders that have hung with us over many years to see Pilgangoora come to maturity. The ramp up at Pilgangoora has gone very well. We'd like to think that we've set ourselves aggressive targets in establishing the plant. And as I said full credit to Dale and the operating team at Pilgangoora, because they’ve gone a long way to achieving those aims. Aside from all the work that's been going on at Pilgangoora, it's otherwise just as it is always the case, a very, very busy time for Pilbara Minerals. We’ve continue to work on the required expansion initiatives, which are multifaceted, the first of which of course is to have the expansion financed, and we continue to progress the financing and especially that with respect to customers, with both Great Wall and Ganfeng coming along in support of the phase 2 expansion initiatives. And as a result of those discussions, and more we've started to think about what's possible -- or what's ultimately possible with respect to the Pilgangoora project as we contemplate a Stage 3 expansion. And that's driven by, especially the medium term demand that we see coming from customers. And one of the more important demand elements is that we've also experienced from Korea via our relationship with POSCO. POSCO as you'd imagine is continuing to engage with, especially Korean battery manufacturers, cathode materials suppliers and determined that they should build a larger facility, as they start up chemical conversion or large scale chemical conversion in Korea. And as a result of those discussions we've signed a non-binding MOU that contemplates expanding the proposed Korean chemical facility from 30,000 LCE equivalent to 40,000 LCE equivalent and predominantly in the hydroxide category. That is a really important initiative for Pilbara Minerals, because it affords another -- it's another pipeline opportunity that diversifies our spodumene sales, but also importantly allows Pilbara Minerals to participate in the downstream initiative by a joint investment with POSCO. We're very much looking forward to continuing to crystallize that initiative during the March quarter and we should have more to talk about with respect to those Korean initiatives in the coming months. In the production and sales, as I said, very strong production, very strong sales and importantly very high quality product. And again, I think that's a point of difference for Pilbara Minerals and the Pilgangoora project, a really high quality product that we believe is going to be valued by our customers for the long term. And that's the reason why we have the cream of the chemical conversion crop working with Pilbara Minerals in the continued development of Pilgangoora. On the Tantalite side, the Tantalite is literally falling out of the plant, with plenty of Tantalite production and we're now going through the process of upgrading the Tantalite or the primary Tantalite concentrate into a final Tantalite concentrate. And one of the points I'd make as I reference slide number -- I think that's slide number five, production and sales. You'll see that we're carrying quite a bit of stock in the Tantalite category, and that primarily relates to the stock that's being traded for the upgrade to 30% Tantalite, and the result -- or initial results coming through from that program are also very strong. So we're looking forward to some of those high grade Tantalite sales in the coming quarter or two. Otherwise there has been a general build of stock and the inventory has continued to grow. We're deliberately calling that out because that is part of the equivalent of ramp up costs as we develop the Pilgangoora mine. We're carrying quite a bit, in the way of raw stocks primarily driven by access to fresh ore and the thin layer of oxide ore that sits at surface will continue to be bled through the plant over time. But the primary feed has to be the fresh water, hence the raw stocks. And then otherwise, just building up inventory through that -- through our supply chain prior to shipment. And clearly there's some cost associated with that. There has been cost associated with that in prior quarters, and in the prior half, and there’ll continue to be some costs associated with building out that stock position in the current and future quarters, whilst we stabilize or present more like steady run rate production. That's it in the way of opening remarks, I'm going to hand to Dale now. Dale will start to drill into a little bit more detail about the performance at the plant and expectation from here, so over to you. Thanks Dale.
Dale Henderson: Good morning, everyone. In terms of the plant performance the last six months' clearly more been about the ramp up. So particularly in the September quarter the challenge for the team was really around stepping through with commissioning and increasing the stability of the plan. As we moved into the December quarter it's been around our focus of increased stability and ultimately starting to do a lot more fine tuning and optimization of the plant. And we're delighted to report that it's moved along very, very well. So looking at slide 6, the graph there speaks to throughput volumes. So this is the MC volume coming into the plant and you can see from that, there was a steady improvement by volume coming through the plant. And in particular, this last month, December we're in excess of 90% coming through the plant, so we are delighted with that and what that particularly demonstrates is the plant's ability to volumetrically process the intended design volumes for the operation. So we're very happy about that. So moving from slide 6 to slide 7, this graph represents the saleable concentrate produced by the operation. So we are delighted with that curve. You can see the cumulative curve is like a ski jump, which we're very happy about. And again December was a particularly good month as we continued to step up in terms of volume of ore and concentrate produced, in fact I think we're ultimately at about 85% of designed throughput volume right through December. So that's going very, very well. And as Ken mentioned, that's equated to several vessels which have been delivered to-date to our customers. Moving on to slide 8 for the quality. Very, very good quality, fantastic in fact. Average grade across the four vessels delivered to-date has been in excess of 6% Lithia, and we had low iron. Iron particularly has not been a problem at all for Pilgangoora operations. The equipment in that area is performing very, very well and that plays through every ton of grade that you can see at 1.27% for the first four shipments. All of these measures of course have been verified by independent parties, as required by our customers. Lastly, in terms of operating performance, moving to slide 9, recovery, what we were told to do here is to provide the next level of detail showing really the Holy Grail and the key challenge the operations team has to solve, which is maximizing of recovery. What you can see here is there was some instability, with the squiggly line, in terms of recovery, particularly through the period of October, which is largely owed to stability issues, in particular water. But as you can see from the trends we're starting to get some very, very steady improvement in recovery. And in fact, the most recent data further shows we're approximately at 90% of where we wanted to be in terms of recovery. So more work to be done absolutely, but we're well on track and simply trending in the right direction there. So very happy about that. So that really completes probably the key parts of the operating performance, and I'll hand back to Ken.
Ken Brinsden : Okay. Thanks Dale, much appreciate it. And a lot of good learnings and hard work getting down by the team at Pilgangoora is much appreciated I'm sure, by shareholders. As we move on to elsewhere, in the business, on slide 10, we provide a further background through a corporate update. And one of the most significant packages that was progressed predominantly during the December quarter, related to the next steps with the financing of the Stage 2 project. If you go back over time, you'll be aware that there's a financing commitment from the customers, and in particular Great Wall, Ganfeng, and historically POSCO in support of the Stage 2 development. So we're quite at terms with Ganfeng and with Great Wall, as it relates to the progress of the Stage 2 funding. And that's become the cornerstone to the completion of the debt side of the financing, which we expect to progress with respect to the bondholders and predominantly the existing bondholders, under the Nordic Bond structure. And our expectation is that we will continue to make more progress on that during the last quarter, which in turn we will close the financing and then represent the commencement of the major site works for the Stage 2 expansion which takes processing capacity to 5 million tons per annum and spodumene concentrate tons between 800,000 and 850,000 spodumene concentrate tons. With respect to Korea, and the relationship with POSCO, we're obviously very happy as to how that relationship is progressing with both into the due diligence exercise now, as it relates to the proposed chemical facility to -- or hydroxide plant in Guangyuan, in South Korea and POSCO demonstrating an amazing level of technical import and understanding of the lithium business and the chemical conversion industry via their pulse LX technology which produces a very high quality hydroxide product, which would actually be clearly industry leading. And I believe the Korean cathode materials and battery makers are very much looking forward to that facility, so much so, that they are applying pressure to continue to see that facility grow. So hence the discussions with POSCO about -- and which has culminated in a memorandum of understanding as it relates to expansion to 40,000 LTEs of -- or equivalent predominantly in the hydroxide category. So we're very much looking forward to continuing the progress there in South Korea, and we think it's an important pathway for the future growth of the Pilgangoora spodumene concentrate production. $70 million in cash in the bank, and that's a combination of historical cash flow from operations but also the prior investment from POSCO in support of the continued ramp up of operations and the initial early works in the development of Stage 2. So moving on to markets, we're on to slide 11, and clearly 2018 was a tough year, especially for the Chinese conversion or lithium chemicals industry, the evidence being a reasonably significant fall in price in China albeit off very high highs. And as a result that clearly impacts the value in the spodumene that contributes to battery grade lithium carbonate or for that matter battery grade lithium hydroxide. And as a result there is an impact on the spodumene price received. Now having said that I would contend that the $742 a ton received -- shipments during the December quarter was actually very strong pricing in relation to our product and that's the function of capable chemical converters receiving the product with a view to longer term relationships and the ability to continue to keep growing with Pilbara Minerals. Our pricing is a function of predominantly Chinese domestic pricing but also references the external pricing environment ex-China. And that's an area where the pricing has still been, we would say very strong, and again especially in the lithium hydroxide category given that demand for the higher nickel cathode material. So against that backdrop, the general view would be that pricing does obviously come off as high, but it's nonetheless still a very strong price. And when you take into account our expected cost base, as we continue to ramp up the operation then we'd argue there’s very healthy margins to be won in the lithium business. And then over the medium to long term a significant opportunity in interconnected spodumene supply, through chemical -- your own investment in chemical conversion facilities and hence the push by Pilbara to continue to participate, especially in the Korean market. We think that's a very important part of Pilbara Minerals growth profile. So in summary, Pilbara Minerals, I opened the call with the saying, December being a formative quarter for the company, much more than proof of concept. It's actually happening. We're producing a high quality product. The tons are pouring out of the plant and we're continuing to grow the production based on the strong operating performance. In parallel, the organization is working very hard on the continued growth, based on high quality and very large resource at Pilgangoora. So we're opening up the window for development into Stage 2 with some insight to the future in the project through the proposed assessment of Stage 3 growth project. And again predominantly supported by customers and their demands with respect to future growth. Pilgangoora has an important part to play in lithium raw material supply globally and Pilbara Minerals is both having a lot of fun getting involved, but also looking forward to a very bright future as a result of the quality and scale in that resource. Jessie, that's it from us here in the office, and we're happy to open up the floor to questions. Thank you.
Operator: Thank you. [Operator Instructions] Your first question comes from Nick Herbert from Credit Suisse. Please go ahead.
Nick Herbert : Thanks, good morning guys, and thanks for the presentation and the detail, very helpful. A few questions from me please, and firstly, just on mining grade, looks pretty good, 1.39% and looks like it's tracking a little bit ahead of the plan you put out previously. And just wondering and you said a grade that we can expect to be maintained over say, the next couple of quarters.
Ken Brinsden: Yeah, Nick the grade is just slightly higher than the average reserve grade, and we carried that for a couple of years in the current mine plan. And that was actually part of the final definitive feasibility study plan as we thought about the Stage 2 development, which is actually now what's being executed on the ground. We get some benefit in being able to rewrite the overall plant capacity by feeding a slightly higher grade. And that should contribute to slightly higher cash flow in the early years in the project without materially impacting the existing reserves. And we'd argue based on the expectation that the reserves will continue to grow with little or no impact
Nick Herbert: Okay, good. Thank you. And then just on the onsite costs, the 52 [ph] moving projects for the operating cost for March quarter, and how does that sound, or how do you expect that to change as you go through a ramp up in terms of -- in dollar million value. How that looks say once you get to June and September quarter?
Ken Brinsden: Yeah. So there's a couple things driving that. And really the key is the combination -- it's actually probably two more significant impacts, one relates to just the general concept of the plant continuing to ramp up and how that translates in terms of cost is slightly more shutdowns in the plant, but typically smaller shutdowns but more frequent and therefore slightly higher in cost. And then just general uptime in the plants, and the proportion of uptime versus downtime. And then the overall impact of inventory management, so continuing to build stocks and white stripping in relation to the build out of the remaining infrastructure. So for example the Stage 2 tailings dam facility that requires ways, which drives higher strip ratio over these next couple of quarters. So the combination of all those things, the ramp up, stocks and then slightly higher strip ratio translates to higher cost over the next couple of quarters. But as we move out of -- out of -- so when I think about it from -- we're not providing any guidance, but when I think about it from a guidance point of view, as we move from commercial production into -- or we declare commercial production, put it that way, then we're in a position where we can be a lot clearer going forward with respect to where the costs are being realized.
Nick Herbert: Okay, got it, thank you. And then just finally, the downstream JV, I am just wondering when can we expect to get more details, I guess in terms of the feasibility, where we could start to put some numbers around it. And then also in discussions with POSCO, and do you think they'll be open to increasing their funding of a project to cover, I guess increased CapEx associated with the extension?
Ken Brinsden: Yeah, couple of things in that, Nick. So our expectation is that from a feasibility and a due diligence point of view we will have largely completed our work during the March quarter, and that's being driven by a timeline to present to the respective Boards in May 2019, which is in turn primarily driven by POSCO. As you can imagine they have a much more significant process to go through, as compared to what Pilbara Minerals might go through. So we're really running to their timeline. March quarter completion of the due diligence exercise and the contributing feasibility study, we will have made our presentations to our Board. And as a result, be ready for the execution of the joint venture terms, which in turn will go to the POSCO Board. So that's roughly the timeline as it stands with respect to the Korean chemical project. On the financing side, I guess, sort of generally speaking, there's plenty of competition going on about the funding of the project, and they might get the opportunity to participate in more funding via POSCO. But another model that's being proposed by POSCO is the participation of the Korean development banks in the development of the chemical plant in support of its construction costs. So those discussions are incomplete, but potentially key to the completion of the final financing.
Nick Herbert: Right. Thanks again.
Ken Brinsden: Thanks Nick.
Operator: Thank you. Your next question comes from Steuart McIntyre from Blue Ocean Equities. Please go ahead.
Steuart McIntyre: Hi, guys. Could you please, just confirm the spend to-date on the Stage 1 CapEx at -- is around $274 million. Is that after [indiscernible] value?
Ken Brinsden: Sorry, that's was the Stage 1 capital development profile.
Steuart McIntyre: Yes, correct.
Ken Brinsden: Yeah, it's not -- that's in essence complete. There is just very small reps and moss [ph] development costs that remain but that's very, very small, and the same things in relation to that capital development cost. The spend that's been executed now primarily relates to the early work that we've described in Stage 2, which includes some side works, that's in essence being developed for Stage 2 but in support of Stage 1. So for example, additional process water supply. We have some additional storage piles going in at the mine site. So that really defines. It's more to do with Stage 2 than it is to do with Stage 1. Stage 1 is largely complete.
Steuart McIntyre: Okay, perfect. So as I can see from the quarterly, you're expecting to achieve commercial production this quarter. Does that mean, we should be seeing a breakdown of operating costs in the June quarter? And that comes in next quarter?
Ken Brinsden: Yes, I think that's reasonable to assume. Sure, yeah.
Steuart McIntyre: Okay. Excellent. Now you guys are obviously in a pretty unique position of being in direct regular contact with four major end users. Are you able to provide a little bit more color on your take on the car market conditions and I guess the outlook for prices, that's, as I say, you guys are in a pretty unique position compared to the rest of us to sort of have a feel for what's going on out there, pretty opaque market?
Ken Brinsden: Yes. Look, so a few comments in regard Steuart. So clearly, the chemical conversion industry in China has been under pressure during 2018, so relatively consistent falls in price for them during an -- especially in the lower grade lithium categories. Perhaps not quite such a big impact in the battery grade or Chinese battery grade or battery ready products. But in any case, their margins are being squeezed. And as a result, that maybe impact to Australian spodumene supply is wide and inevitable and it translates to lower spodumene prices. But there is nothing to complaint about with respect to $742 a ton. That will translate to very healthy sort of spodumene operating business in Australia and would suggest -- makes a very good business. When I think about the future, there is some uncertainty with respect to the chemical conversion industry and next step as it relates to central government policy and its support of the vehicle electrification sector, and therefore, the battery sector. That uncertainty translates to a bit of a wait and see approach. That's part of the dynamic that, I think is implied. The chemical conversion industry to a certain extent is sort of sitting on its hands, waiting for the next move in the industry. In the meantime EV sales continue to grow very strongly in China as they do elsewhere around the world. And the net effect that of course, is increasing demand, another dynamic I would expect to come into play during 2019 Steuart is further exports from China of battery ready products. I think that's probably going to be a big dynamic in 2019 especially while there's this arbitrage between international pricing and China domestic pricing.
Steuart McIntyre: Okay, look that's helpful. I guess -- sorry just to finish up on that, you sort of talked about the Stage 3 expansion being largely led by your end users, looking to -- looking I guess longer term and wanting to secure longer term supply. So that's not -- that's obviously nothing to do with the near-term supply and demand dynamic.
Ken Brinsden: No, I think the meat, well, [ph] that's exactly right. I guess, so the medium to long term expectation is that a huge amount more lithium raw material supply has come out of the ground and a lot of that will end up in the hydroxide category because of the growth in the high nickel cathode subset of the market. So there's -- the big contributor would be low cost, high quality spodumene linked to battery ready capability in chemical conversion and especially in the hydroxide category, is an important subset of the market to be involved with. And I'm pleased to say that we have that in spades because of the relationship with POSCO, General Lithium's capability in hydroxide. They were the original hydroxide patent holders. And then of course the massive growth that's going on in Ganfeng and especially in the hydroxide category. Both General Lithium and Ganfeng are in the process of ramping up new hydroxide capacity right now. They've been commissioning those plants since about the third quarter in calendar year 2018 and now starting to hit their strides in terms of both underlying production and quality, with an expectation that quality will become qualified for overseas markets and hence my view that that the export market out of China for battery ready products especially those coming from spodumene, is going to be a bigger dynamic during the course of 2019 and onwards.
Steuart McIntyre: Okay. Thank you very much, Ken.
Ken Brinsden: Thanks Steuart.
Operator: Thank you. Your next question comes from Larry Hill from Canaccord Genuity. Please go ahead.
Larry Hill : Ken and Dale, kudos on a great quarter and yet good start up in production. I just wanted to just question your path to recovery did not play a bright spot into this quarter. Just with the weaker play [ph] like that you obviously have commissioned up and got things going on the cold circuit is that performing well and it's a plant that needs to be sort of tweaked, or where will the improvements in recovery come from?
Ken Brinsden: Yes, Dale why don't you speak to that.
Dale Henderson: Sure. So the cold circuit has performed very well. And we are quite comfortable about its performance and we don't see, necessarily a lot of churning in that part of the plant. The fine circuit is where we see the next incremental improvements to be made as far as recovery goes. And we are looking forward to talking about this next quarter because we continue to make improvements in that space. And now that the plant is performing pretty stable, we are in a position now to really fine tune the fine circuit particularly. And the fine circuit's different from the core circuit required stability above all else. And that’s the key enabler. So next steps in recovery is the fine circuit and that's where we are focus.
Larry Hill : Yeah, and just to that point, I know that you spoke about the disruptions being mostly water related. That was also cited in another operation recently in [indiscernible]. Does that have any impact on you, particularly on Stage 2 going from 4 to 5 million tons or so of water requirement and you had to change what Stage 2 water management will look like.
Ken Brinsden: You’re right that firstly we have had some disruptions from water, at Stage 1 which are solved. As to how that affects our thinking to Stage 2, it hasn't really affected our thinking in that regard. But what we are doing is ensuring that we continue to increase our water supply options for not only Stage 1 but Stage 2 of which we have an abundance of supply secured to support the future development.
Larry Hill : Okay guys, thanks for that.
Ken Brinsden: Yeah, Larry, couple more things to add there, mate. On -- we've had a really successful year during 2018 and full credit to the exploration team at Pilbara in water exploration, both at site and through the region around Pilgangoora. We've been able to open up from a discovery point of view a couple of new oil fields that we believe are pretty significant. And they have become basically the mainstay for future expansion, obviously in Stage two but also into Stage 3. So we would contend that the water, and actually very fresh water is readily available in the region, you just have to go and explore for it. And I'm pleased to say that we've been pretty successful at that. So we made early works that we're doing around Stage 2. Water is a key part of that and we're actually developing those ore fields [ph] including pipelines and bores getting out the ores at processing. So that's it with overall water supply. Just going back one step also Larry, as it relates to the recovery question, just remind you that the Pilgangoora circuit is different in the sense that it's a closed circuit. So we carry all ore feed through both DMS and the things in the DMS to flotation. So there's no rejection of lithia whites at DMS, it all goes through the floatation. So my point there is that the flotation is really the key to the overall Lithia recovery and I think they're doing a really good job in terms of learnings in and around the flotation circuit and what really makes it seem so -- so hence our confidence in the continued improvement in that part of the plant.
Larry Hill : Thanks for that. That's all.
Operator: Thank you. Your next question comes from Kristie Batten from Mining News. Please go ahead.
Kristie Batten : Good morning everyone. I was just wondering if you could talk a little bit more about the potential Stage 3 and what the timing is around that. When you say that it's in the evaluation phase, is that equivalent to a scoping study or is it earlier than that?
Ken Brinsden: Yet good question Kristie. And we've actually commenced the scoping work as it relates to Stage 3 and we've built that into the detailed engineering in Stage 2. And our logic in doing that is that you afford the greatest opportunity for subsequent expansion, if you design the right elements in the program prior to the work. So basically what you're doing is you're building Stage 2 with Stage 3 in mind. In certain subsets of the plant that might mean putting bigger equipment in or laying more concrete or even just more earthworks all of which add value to the subsequent expansion. So if you go back over history, the Stage 1 project was built with Stage 2 in mind and the benefit in that has been to both speed up and we'd assume lower the cost ultimately of the development in Stage 2. So for example a bigger coarse ore stockpile with more substantial features [ph] below the stockpile, heavier rated conveyors in certain locations to support the additional flow for a subsequent expansion, earthworks, drainage you name it. So lots of things were done in Stage 1 in support of Stage 2. We'd like to carry that same logic into Stage 2 with a view to Stage 3, and benefitting all that is hopefully faster and/or cheaper development over time. When we think about the timing of stage 3, it is early days Kristi but what we're hearing from the customers is that the period post Stage 2, just a quick reminder we're commissioning Stage 2 in the March quarter of 2020. We'll be looking to execute Stage 3 with a view to ramping up Stage 3 during 2021. That's the rough timeline that we're working through, driven by the customer's demands.
Kristie Batten: So when you said that you sort of built -- you are building -- you built sorry, you built Stage 1 with Stage 2 in mind, was anything to Stage 3 built into the DFS for Stage 2?
Ken Brinsden: Not the DFS for Stage 2, but we’ve certainly done that since the definitive feasibility study. So look, it’s a good question, Kristi and what it means is that we might yet end up spending a small amount more in Stage 2 in support of a subsequent Stage 3. But that’s to be determined by the completion of the detailed engineering. So yes, more work to be done, not built into the original DFS with Stage 2, but we’ve certainly been thinking about it since.
Kristie Batten: All right. Thanks Ken.
Ken Brinsden: Thanks very much, Kristi.
Operator: Thank you. That concludes our question-and-answer session. I will now hand back to Mr. Read for closing remarks.
Nicholas Read: Thanks very much, Jessie. A big thank you to everyone for their participation today. That wraps up Pilbara Minerals first investor conference call. Thanks to Ken, Dale and the team here in Perth. Just a reminder to everyone that a replay of this call is available using the same link and that will be live very shortly in the next hour or so. And also to any shareholders with follow-up questions for Pilbara's management team, you’re welcome to send those to the email address that I have mentioned at the opening shareholderservices@pilbaraminerals.com.au Thanks very much for your time. We do appreciate this. Enjoy the rest of the day and have a good and Australian long [ph] weekend. Thank you.